Operator: Good day, ladies and gentlemen. Welcome to TomTom's Second Quarter 2023 Results Conference Call. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of today's prepared remarks. [Operator Instructions] Please note that this conference is being recorded. I would now turn the call over to your host for today's conference Freek Borst, Investor Relations. You may begin.
Freek Borst: Thank you, operator, and good afternoon, everyone. Welcome to our conference call, during which we will discuss our operational and financial highlights for the second quarter of 2023. With me today are Harold Goddijn, our CEO and Taco Titulaer, our CFO. We will start today's call with Harold, who will discuss key operational developments, followed by a more detailed look at the financial results and outlook from Taco. We will then take your questions. As usual, I would like to point out that Safe Harbor applies. And with that, Harold, I would like to hand it over to you.
Harold Goddijn: Yes. Thank you very much, Freek, and welcome, ladies and gentlemen. Thank you for joining us today. I will briefly go over our key operational highlights and progress and after which, Taco will provide further information on the financials. Our Location Technology business performed well in the second quarter, showing continuing momentum and good growth. We are consistently outperforming car production trends in our core markets, thanks to our strong product offering in maps, traffic and routing. After a strong first half of the year, we increased our outlook for revenue and free cash flow for 2023. Outside of automotive, we are also helping customers to innovate. Recent examples is our expanded partnership with analytics leader, Alteryx. We now power their new cloud-based solutions, so an even broader user base benefits from TomTom location intelligence. The rollout of our new maps is progressing according to schedule. We delivered the new maps to key partners in important verticals like ride-hailing, fleet and logistics, and automotive for testing and validation and the reception has been overwhelmingly positive. Our new maps are setting new benchmarks on all metrics, and thanks to our new mapping platform, the pace of improvement of the metrics is higher than what we have seen in the past. The first release focuses on visualization, search and routing, especially talking ride-hailing on-demand delivery, fleet and logistics. And as we rollout the platform, we will unlock increasingly sophisticated features such as advanced 3D visualization, electric vehicle search and routing, rich truck and bus attributes and improved HD information. I also would like to highlight the progress we made through the Overture Maps Foundation, which we founded together with AWS, Meta and Microsoft. Overture has now released its Data Schema, a Global Entity Reference System during the quarter. These are the foundations of what we are building and the encompassed technical specifications that define how geospatial data will be structured and how additional data can be added to the base map. We are creating the specifications to connect Overture's open-based data sets with the proprietary geospatial data from organizations that are joining and using Overture. Soon, TomTom customers will start to benefit from fast integration of data released by the Overture Foundation. And with that, I'm now handing over to Taco. Taco?
Taco Titulaer: Thank you, Harold. Now I would like to provide some insights into our financials and outlook for the year. After that, we will move on to your questions. Group revenue for the quarter increased by 18% year-on-year to €157 million. Our Location Technology revenue reached €128 million, representing an increase of 22% compared to the same quarter last year. Let us break down our revenue business by business, starting with Automotive. Automotive operational revenue was €90 million in the second quarter compared to €71 million in the same quarter last year. This marks a significant increase of 28% year-on-year. Our performance exceeded car production growth of around 15% in our core markets, being Europe and North America, supported by continued increases in take rates and market share gains. Automotive IFRS revenue increased by 52% from €60 million to €91 million. Part of this increase can be attributed to the change in our IFRS revenue recognition for new maps subscription contract, which started in Q4 2022 as well as a one-off increase from royalties related to previous periods. Moving to our Enterprise business. We saw stable quarter-on-quarter performance. Enterprise revenue settled at €37 million. And lastly, consumer revenue increased by 4% year-on-year to €28 million. Gross margin in the second quarter was 83%, equal to our gross margin in the same quarter last year. For the full-year, we expect gross margin to be around 84%. Operating expenses were €133 million in the quarter. This reflects a decrease of €32 million year-on-year as last year's operating expenses included a restructuring charge of €31 million. Excluding the impact of this restructuring charge, our operating expenses decreased by €2 million. This reduction resulted from lower depreciation and our amortization and realized efficiencies following last year restructuring, partially offset by inflationary pressures. Free cash flow was an inflow of €3 million this quarter. This marks an improvement compared with the same quarter last year, reflect our higher operating result in our Location Technology business. In the second quarter, restructuring related cash out totaled €6 million, including these payments, free cash flow was an outflow of €3 million. Having covered our results for the quarter, let us move on to our outlook. We had a good first half of the year with our business performing better than our initial expectation. As such, we are upgrading our guidance today. We now expect group revenue for the full-year to range between €570 million and €600 million. Location Technology revenue is anticipated to be between €480 million and €505 million. It's relevant to mention that for the second half of the year, we expect year-on-year comparisons of our performance to be affected by base year distortion related to the strength of the dollar last year as well as a change in revenue recognition for the new maps subscription contracts, which started in Q4 of 2022. On top of the upgrade to our revenue guidance, we are increasing our free cash flow guidance as well. We now anticipate free cash flow to be around 5% of group revenue for the full-year. This guidance excludes charges related to the restructuring announced in June of 2022. Of the total restructuring charge, €12 million was paid in 2022 and €10 million in the first half of 2023. The remaining €2 million we expect to pay over the upcoming quarters. To conclude, I want to emphasize our commitment to achieving profitable growth and enhancing shareholder value. We are excited about positive trajectory set for the remainder of the year. Operator, we are now ready to address any questions. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And we'll now take our first question. Please standby. First question today is from the line of Harry Blaiklock from UBS. Please go ahead.
Harry Blaiklock: Hi there. Thanks for taking my question. You delivered some really strong performance in auto with an acceleration in growth versus Q1. It seems like it was driven by pretty significant share gains. I was wondering whether you could provide a bit more color around the drivers of the share gains.
Harold Goddijn: Yes. So it's really an effect of a strong order book and programs that we're rolling out. You see as part of this contracts more and more car lines being equipped with our technology. And I think that explains most of the momentum that we're seeing. And I think on the whole, the market seems to be a bit stronger than we had anticipated in the beginning of the year, so the overall volume of car sales has not disappointed.
Harry Blaiklock: Got it. And you mentioned it there, but I was wondering whether you could provide a bit more color around the automotive backlog and orders, how that's developed this quarter. I assume it's at a level which helps give you confidence in the new guidance?
Harold Goddijn: Yes. So we're happy how the order book is developing. We're happy with the total funnel, both in automotive and in enterprise, I have to say. But especially in automotive, the funnel is sizable, substantial. We expect not that whole funnel to materialize in 2023, some that will be taken over to 2024, but the total market that is available seems to be significant. Order intake so far has been in line with our expectations. But as you know, the order intake can be quite lumpy. And one or two deals can make a significant difference, and that's the reason why we publish and communicate about total order intake in the beginning of next year. I think February is the date where we give you a new update of the order intake and the total backlog.
Harry Blaiklock: Got it. That's very helpful. And one last one, if I may. Just on the new maps platform, it sounds like you've been getting great feedback. I was wondering whether you can provide any examples of what you've been hearing from customers.
Harold Goddijn: Yes. So I would like to split that in two sections and two market segments we are addressing. We have our existing customers who are using our existing map and they're happy with the move because I think it makes sense. They see a richer attribution, they see better visualization. They like the idea of that Overture partnership and the generic comments that we get from our customers is that it's clearly the way to go. So that is very encouraging. There's a second segment of customers that we cannot address today based on our current technology. That's a sizable market segment, and we're very active in developing the funnel there as well. And those are companies that we have not been able to talk to based on the old technologies forever. And from that second sector of potential customers, there's also a lot of activity and a lot of excitement. And that's the sector where we also have – where we have planted demo files, trial files and the response so far has been very encouraging. So I think net-net, our expectation is that we are improving our market position with existing customers, including automotive, and that we are adding a complete new sector that we have not been able to address before. I don't think that potential will materialize into 2023 in terms of higher revenue. I do think we will be able to announce a number of deals before the end of the year. But before you can see that in the revenue numbers, my expectation is that we will have to wait for 2024 and that we will be able to start growing in the Enterprise segment significantly in 2024, but also the years after that.
Harry Blaiklock: Great. Thank you, Harold.
Harold Goddijn: You're welcome.
Operator: Thank you. We'll now take our next question, please standby. This is from the line of Marc Hesselink from ING. Please go ahead.
Marc Hesselink: Yes. Thank you. The first question actually was a bit of a follow-up on the strong results for the automotive. You mentioned already the market share gains and maybe also some higher production volumes. What are you seeing on the take rates has also been steadily moving up. Maybe also mentioning in this respect the dynamic a bit of – in the previous year it was – the high-end cars were still being produced. I know maybe a few of the more lower end, do they also tend to have still the attach rates going up there?
Harold Goddijn: Yes, we see attachment rates going up, and there are two significant drivers for that. First of all is legislation. So there's more and more legislation that require the car to be smart with speed assist cruise control, hazard warnings, traffic information. There's new legislation in making that will give carmakers additional points if they integrate those types of technology into their cars, so that has an impact on the take rates. So if you want to have as a carmaker, a high-end cap rating, then there is incentive to start working with the type of data that we are producing. The other driver is electrical vehicles. We see at the moment in EV cars, 100% attachment rate. I don't think that will continue to be 100% forever that may end up somewhere like 90% or 85% or somewhere like that. But for the moment, all electric vehicles have navigation, EV routing, access to online charging point information, service side range calculation and so on and so forth. So although the percentage of EV cars totally shipped is still low, we do start to see some effects of EV cars becoming more popular now.
Marc Hesselink: Okay. Clear. Then maybe can you help me a bit on the trajectory that you're seeing 2023, 2024, 2025 going into your 2025 guidance for Location Technology. But this year seems to be relatively strong even despite the enterprise contract that you lost, I think the guidance for 2025 [indiscernible] quite some growth. Also maybe ask one more recent announcement that maybe production volume will be a bit slower growth into 2024. Is it fair to assume that next year also with the progress that you're making on the open source method maybe you grow a little bit slower and the growth picks up really again in 2025?
Harold Goddijn: Difficult to say. I think automotive looks good and fairly predictable when there is no indication that we need to change anything in our assumptions. If anything, they are a little bit better than we had anticipated, so I think that's still intact and on schedule. The funnel, so – and the funnel is kind of the identified targets for our new map in enterprise is filling up quite nicely, so we do see a lot of leads or potential for those maps. Now that needs to be converted into business. It's harder to predict how long it will take, whether it will go faster or slower than we – I don't know. But I think the – what we can say is that the funnel and the interest for new map is growing very quickly and has been growing very quickly in the first half of this year. We will start converting that into real contracts in the second half of 2023 with some revenue expected to come in, in 2024. And it's hard to predict what kind of momentum we can achieve in that sector [indiscernible] we don't have a lot of historical data. But qualitatively, I can say that market expectations and market reactions have been very encouraging indeed. And a large number of companies, I said it in my opening remarks, a large number of companies that are in that funnel are companies that we could not address with our products in the past because essential data were missing, visualization was not at a required level whatever key countries where our coverage was of an insufficient level. We're fixing all that, and that gives us a lot of optimism for the Enterprise business. What we've also seen is that we can much faster add data to the new database. So the rate of improvement what we've seen so far of the geographical database has increased significantly and that is because there are more sources and super sources available. So vehicles are giving us all sort of data, including data about signposts and lanes and whatnot. And the other reason is that all those signals can be processed in near real-time at a very high speed and can then be entered to the database. So we expect a steeper line of increase in terms of the number of the coverage, but also the data types that we are providing our map. And lastly, I would like to point out that the cost of doing that has come down significantly as a result of our transition to the new map platform.
Marc Hesselink: Okay. Do I summarize that and correct that you're very confident on getting that business, the new Enterprise business, the new Automotive business, but that the exact timing, it might be a bit more 2024, maybe a bit more 2025. Is that correct?
Harold Goddijn: Yes, I'm very confident that a number of those named opportunities that we have in our funnel will translate into business.
Marc Hesselink: Okay. Clear. And one small final follow-up is that on the order intake that you're in line with your expectations. Are there any significant share gains in there? Or is it more winning the existing – re-winning the existing contracts?
Harold Goddijn: Well, I think that's a bit of both. So it is new business with existing customers and new programs, but there are also new opportunities that we've been able to close. And if I look at the total addressable market for 2023, 2024 in terms of contract wins, there are a number of new potential customers in that list as well.
Marc Hesselink: Okay. Thank you. Clear.
Operator: Thank you. [Operator Instructions] And we'll now take our next question. Please standby. This is from the line of Wim Gille from ABN AMRO. Please go ahead.
Wim Gille: Yes, very good afternoon. Two questions from my end. If we look at the dynamics in terms of, let's say, your outlook on automotive revenues, and there's obviously, let's say, a driver in there, which is called European car production and then we have the take rates in basically your market share. I think we can all make a bit of a feeling there. But you broadly speaking, give us an indication on where you expect automotive car production to end up in 2024 compared to 2023 in what you basically currently see and then help us get a bit of a feeling on what the potential automotive revenues can be taking into account take rates and market share gains? That would be my first question. The second question is on the cost side. Obviously, we've seen quite an encouraging drop off in the cost when you basically implemented the new mapmaking platform. A lot of that has been reversed now in Q2, basically due to inflation, which was expected within kind of the guidelines that you provided earlier on, but how should we model the cost base going forward? Is this kind of the new level or should we expect ongoing efficiencies in the geographic data layer? What do you see going forward in terms of wage inflation? So a bit of a feeling on how to model that going forward would be helpful. Thank you.
Taco Titulaer: Yes. Hi, Wim. It's Taco. I'll take the first and [indiscernible] your second question. So first of all, if you look at the markets that are most relevant for us, so that is the EU and North America. So we look at industry data, so this is a no overlay from our side. Then the market grew or is expected to grow with roughly 10% this year and that will slowdown to 2% to 4% next year, so the growth in the market will decline. There's still growth next year, but at a slower pace. Then your second question about geographical data and the application layer. What you've seen in the second quarter is that now the application layer is the – has become a bigger part of that R&D spend. What we expect is that mix will continue to diverge so that application layer will grow faster than the other one. Your question if we could also see geographical data coming down. That depends, of course, a number of factors depends on customer acquisitions and the specific needs and specific sources that we need to unlock or not, but it's also one of the boundary conditions that we've set ourselves as profitable growth as well. So on the one hand, there is an intent amount of data requests that we can contain, but that we also want to serve as long as we can go to that 10% yield that we aim to achieve in 2025.
Wim Gille: Very good. And then maybe on the automotive revenues for 2024 and beyond. So what should we – what do you guys expect in terms of let's say, the growth, and we have the market growth in terms of car production, but there's two other sources of growth, which is an increase in the take rate, which in all likelihood is going to expand further, especially with electrification taking place as well as market share gains. And obviously, this year, you had a particular market share gains on the back of Kia, Hyundai, but how do you look at that development for 2024, 2025? And maybe can you say something about the order intake. I fully get that that you will update us in February on where the order book stands. But based on the wins that you had so far, is your market share going to increase going forward based on the year-to-date wins? Or did you more or less get what your current market share reflects?
Taco Titulaer: Yes. So if you split automotive and enterprise and look in the years ahead of us, and that's very much relating to timing of signatures in enterprise and when that revenue actually comes in. Then we expect next year, automotive, the growth to be, well, single-digit percentage, probably low single-digit percentage also due to – so one-offs this year, so that makes comparable difference. So low single-digit increase this year and the year after probably going back to double-digit increase in automotive – we expect a double-digit increase already next year, but the main increase in enterprise will – is expected in 2025, both in absolute as a percentage. Your second question was. Yes, sorry.
Wim Gille: Could you repeat on enterprise? Could you repeat on enterprise double-digit in 2025?
Taco Titulaer: Yes. Let's say, 10% next year and then a bigger growth in 2025, a significant bigger growth in 2025 in enterprise, mainly due to unlocking the market potential via our new mapping platform. And your second question was on the market share gains based on the order intake, what we have achieved this year. Well, it will benefit us, but it's not that we have signed up huge game changer this year from the competition at this point. So that might come, but it's not based on the current year order intake.
Wim Gille: Thank you.
Operator: Thank you. There are no further questions at this time. I will hand back to the speakers.
Freek Borst: Thank you. Since there are no further questions, I'd like to thank you all for joining us this afternoon. Operator, you may now close the call.
Operator: Thank you. This concludes today's presentation. Thank you for participating, and you may now disconnect. Speakers, please standby.